Ian Fillinger - President & CEO:
Rick Pozzebon - EVP and CFO:
Bart Bender - SVP of Sales and Marketing:
Matthew McKellar - RBC Capital Markets:
Ketan Mamtora - BMO Capital Markets:
Ben Isaac - Scotiabank:
Hamir Patel - CIBC Capital Markets:
Sean Steuart - TD Cowen:
Operator: Good morning, my name is Chloe and I will be your conference operator today. At this time, I would like to welcome everyone to the Interfor Analyst Conference Call. All lines have been placed on mute to prevent any background noise. After the speaker's remarks, there will be a question and answer session. [Operator Instructions] Thank you. Mr. Fillinger, you may begin your conference.
Ian Fillinger: Thank you, operator, and thank you, everyone, for joining us this morning. With me on the call, I have Rick Pozzebon, Executive Vice President and Chief Financial Officer, and Bart Bender, Senior Vice President of Sales and Marketing. I'll start off by providing a brief recap of our first quarter before passing the call on to Rick and Bart. Adjusted EBITDA was $49 million in Q1, and despite weather challenges and tariff uncertainties, all of our operating regions were EBITDA positive. This result was largely driven by higher sales realizations across all regions. Although the pace of single-family starts remains somewhat resilient year-to-date in the context of interest rate environment and associated affordability challenges, the geopolitical situations remain uncertain, and the aggressive U.S. trade policy has significantly increased the possibility of flowing demand. Therefore, we're maintaining a conservative outlook for 2025. We have geographically diversified our company to weather these type of uncertain periods. Our U.S. platform represents 60% of our asset base, spanning both the U.S. South and the Pacific Northwest. Approximately 76% of our total production is not subject to duties or U.S. trade actions, and our available liquidity of over $300 million is strong. In closing, our outlook is mixed. However, our foundations are strong. We're diversified, and we continue to see opportunities for efficiency costs and margin improvements across all of our regions. I'll now pass the call over to Rick.
Rick Pozzebon: Okay. Thank you, Ian, and good morning, all. Please refer to cautionary language regarding forward-looking information in our Q1 MD&A. Overall, our Q1 results were a significant improvement year-over-year, reflective of stronger lumber prices across all key products and the steps taken to optimize our sawmill portfolio. With respect to earnings, Interfor generated a just EBITDA of $49 million on total revenue of $736 million. Total revenue remained relatively flat quarter over quarter, with an 8% increase in the average realized lumber price offset by an 8% reduction in the volume of lumber shipped. Lumber price improvements were supported by the substantial production curtailments across the industry in 2024, as well as seasonal demand. Lumber shipments were slowed by tariff-driven customer uncertainty and constrained truck availability in the U.S. South. Fortunately, we're now seeing more consistent truck availability and expect to catch up on shipments in the second quarter. On the cost side, reported production costs per unit of lumber increased 9% quarter over quarter, reflective of operational disruptions from harsh winter weather conditions in several regions and the constrained shipment volume. Ultimately, a net loss of $35 million was recorded in the quarter, which includes a $29 million non-cash loss on disposition of our Quebec operations. From an operating cash flow standpoint, the $49 million of adjusted EBITDA in Q1 was more than offset by a $54 million build in working capital and $12 million of income tax installment. Working capital build was mostly driven by seasonal build of log inventories in Canada and the tariff-driven delays in lumber shipments, which accounted for $44 million of the total build. On a positive note, these inventory increases are temporary and expected to reverse over the course of Q2 to support cash flow. Beyond operations, we invested $17 million in capital projects and raised $19 million from the sale of assets. Sales of assets included $3 million of net proceeds from the ongoing wind down of our B.C. coast operations. Over the remainder of this year, 10-year sales are estimated to generate additional net cash flow in the ballpark of $15 million to $20 million. Ultimately, our financial leverage as measured by net debt to invested capital ticked up to 37% at the end of the first quarter. While we remain focused on closely managing our financial leverage, we are well positioned with more than sufficient available liquidity at over $300 million. To wrap up, INAFOR's Q1 financial results were another step in the right direction for our business, despite the various disruptions. Looking ahead, we anticipate continued lumber market volatility, considering duty rates are set to rise substantially later this year, combined with the looming threat of tariffs. Fortunately, Interfor is well positioned to navigate successfully through this volatility with its high quality and geographically diverse operations. That concludes my remarks. I'll now turn the call over to Bart.
Bart Bender: Thanks, Rick. So, I'll provide some market outlook comments. It's hard not to look back at what transpired in Q1 when we think about what Q2 and beyond could look like. This past quarter, we saw a series of events that were impactful to our lumber markets and leave us with a level of uncertainty as we navigate incoming increases in duties on Canadian lumber shipments to the U.S., continued threats of tariffs, and demand that reflects the lack of confidence in the North American economy. All of these have a profound impact on North American lumber markets. This past quarter, the impact of both the prospect and ultimately implementation of tariffs and prompt reversal left our markets without direction. It was very interesting to see the responses that did occur, with BNW, Eastern Spruce, and Western Spruce markets quickly increasing prices to reflect the changes in the competitive landscape. Interestingly, the Southern Yellow Pine markets saw a delayed response, but ultimately that region saw increased demand and higher prices as well. We believe will continue as our customers address risk and supply. Q2 and Q3, we're expecting volatile pricing environments. The competitive landscape is going to shift as the markets make room for significant duty increases and potentially tariffs on top of that. We expect that markets will ultimately pay for those cost increases. We're just not sure to what degree supply will need to respond to achieve that. There will be winners and losers, with U.S. lumber producers likely winning and consumers footing the bill. The impacts on Canadian producers are less known and will be influenced by operating regions, products produced, and proximity to key markets. All things considered, the volatile markets we saw in Q1 were favorable overall. Pricing was elevated for most of the quarter. On the demand side, our customers are reporting declines in activity due largely to the uncertain economic backdrop. We still believe strongly in the underlying fundamentals and will look to see deferred projects step back in when confidence increases. This will be an area to watch as manufacturers, builders, and end users navigate negative sentiment and risk. Turning to logistics, this area has not been immune to the impacts of the tariffs. We're seeing U.S. south trucking capacity tighten as other commodities change their patterns in shipping lanes. This will settle down in Q2. Aside from some weather events in Q1, the other regions have been stable on both rail and truck capacity. In summary, we expect volatility in the markets for all operating regions for Interfor. We're well-positioned to take advantage where opportunity presents itself. Now I’ll turn it back to you, Ian.
Ian Fillinger: Thanks, Bart. Operator, we're ready to take questions.
Operator: [Operator Instructions] Our first question comes from the line of Matthew McKellar from RBC Capital Markets. Your line is open.
Matthew McKellar : Good morning. Thanks for taking my questions. First for me, it looks like 7 Yellow Pine prices have been having a decent couple of months here. At an industry level, are you seeing any kind of meaningful production response on that combination of stronger pricing and maybe wanting to position for what the market looks like after higher duties come into effect?
Ian Fillinger: Not that we're aware of. Matt, this is Ian, by the way. Thanks. No, we haven't really seen any moves in Southern Yellow Pine production trying to capture that. I think mills are running fairly steady. And as you know, you know, adding hours is a little bit challenging in the South for a variety of reasons. But no, we're not seeing anything from our end.
Matthew McKellar: Okay. Thanks for that. What kind of finished goods inventories, I guess, are you carrying in your mills today? Would they be above seasonally typical levels? And then with the comments around tariffs maybe delaying some shipments, do you think channel inventories and maybe SDF in the U.S. in particular are positioned any differently than they typically would be at this time of year?
Ian Fillinger: Yes. I think on the inventory side, I don't think I know during the quarter, you know, when tariffs were in and out, there was a bit of a, you know, delayed response to inventory. I think we grew up to a maximum of three days over the, you know, previous quarter. But during the end, you know, toward the end of the quarter, inventories really came down. So our, you know, inventory thresholds, the internal numbers that we manage are, you know, very, very in line with where we want them. So we don't see any inventory in our yards that that's concerning. And then the channel inventories are really hand in mouth. Everybody is keeping an eye on the risks and trying to mitigate any kind of downside on that. But in short, Matt, it's, our belief is its extremely tight right now.
Matthew McKellar: Thanks very much for the detail. I'll pass it back.
Operator: Our next question comes from the line of Ketan Mamtora from BMO Capital Markets. Your line is open.
Ketan Mamtora : Hi. Good morning, and thanks for taking my question. Perhaps to start with, can you talk a little bit about, you know, what you are seeing in demand right now, both on the repair and remodeling side and also on the new residential construction side?
Ian Fillinger: Sure. On the repair remodel, you know, the drivers, aging, housing stock, rising equity, good employment gains, you know, are all there. But, you know, softening consumer sediment is, I think, really kind of mitigating all of those and weighing on the outlook a bit. And on the new residential, I mean, you know, as in my comments, as you know, Ketan, the housing stores have actually held in there pretty well, even, you know, given the mortgage rate situation. But the housing affordability and the new home traffic that the industry's not seeing or declining is concerning. But we're pleasantly surprised with, you know, how it's hanging in right now on the new home.
Ketan Mamtora: Yes, and I'm just curious on the…
Ian Fillinger: And then on the home builder incentives, I would say that they've done a good job of doing that and keeping that, you know, volume up there.
Ketan Mamtora: Yes, no, that's fair. On the R&R side, Ian, are you seeing sort of volume sluggish at this point on a year-over-year basis? Are things a little bit slower? Are things up a little bit? How would you characterize that?
Ian Fillinger: Yes, I mean, Ketan, the, I mean, another way to look at that would be, you know, how is our inventory and our production rates? So our operating rate last, or in Q4, I think was around 78%. We increased it to 82% in Q1, and we're able to move our product. So I think things are tight, but our operating, you know, production and our sales numbers are in sync. So at this point, you know, we're not seeing, you know, a risk. Are we concerned? You bet, for sure, in monitoring every day. But, you know, operating rate up 4% in Q1 versus Q4, and inventory is largely, you know, in sync with the production levels.
Ketan Mamtora: Got it. And then just last one from me, we've seen a pretty meaningful pullback in Western SPF prices. You know, we also have duties which are, you know, going to go up at some point, you know, in the back half of this year pretty meaningfully. I'm curious, Ian, as we look at, you know, kind of what's going on in housing, we've seen Western SPF prices come down, you've got duties going higher. What is your sort of, you know, philosophy or your approach to production in this backdrop?
Ian Fillinger: Yes, I mean, I think this plays to, you know, the diversity and, you know, kind of where we're located. And, you know, with 75 plus percent, you know, not subject to duties or U.S. trade action, it gives us comfort that our portfolio is strong to weather this type of storm that may come. I think that -- when you look across Canada and you think about our operations in the southern interior, which cut five different species and are fairly diversified, that there's good strength there. And then when you kind of turn to Ontario and New Brunswick and you think about that SPF volume, could it be displaced by southern yellow pine? Possibly, but there's a strong need for SPF stud volume into the market and that's the majority of our product in eastern Canada. So, I think there's going to be puts and takes, but for our company, we feel good about the growth that we've done and the type of growth and the type of products that we have to weather these types of, you know, situations.
Ketan Mamtora: Got it. That's helpful. I'll jump back in the queue. Good luck.
Operator: Our next question comes from the line of Ben Isaac and from Scotiabank. Your line is open.
Ben Isaac : Thank you very much and good morning, everyone. Three quick questions, if that's okay. Ian, on the last call, which was mid-February, you said that you weren't counting on any support from federal and provincial governments in your business planning. A lot has changed in the last three months on both sides of the border. Can you just give us an update in terms of what is Interfor or the industry looking or hoping for from the federal or provincial governments, or have there been any pivots in the past three months, given all that's happened?
Ian Fillinger: Yes, Ben, I would say that the, you know, from our view and not comment on others, but we're, you know, we're not chasing government support in any kind of incentives or anything like that at all. But I would say the industry as a whole, given the trade action by the U.S. against Canadian producers, it's really -- there's an incentive for the Canadian producers to engage at a deeper level with the federal government in Canada around the softwood lumber dispute and resolution on that. But at the end of the day, it's President to Prime Minister. And the best that our industry can do and Interfor can do is get aligned with solutions that work for North America. And I would say that there's discussions on that, but it really comes down to having our Prime Minister in Canada early in his job and making sure that industry is educating him and our President or President in the U.S. around what a negotiated settlement might look like.
Ben Isaac: Thank you for that. My second question for you or for Rick. In the current environment, can you just talk about that 37% net debt to capitalization rate? Is it stable at current pricing? And if not, can you remind us what non-operational cash flow levers there are to pull to keep that stable? Thank you.
Rick Pozzebon: Sure, Ben. Good morning. It's Rick speaking. Yes, we do view the 37% leverage at the end of Q1 as temporary. Just given that inventory build that we've spoken about that caused a slight uptick in our leverage, we're confident given the progress we've made here in Q2 on inventory shipments and also working through our seasonal build of log inventories that leverage will come down at the end of Q2. So, we feel really good and have confidence going forward that we can maintain stable leverage and keep lower covenant levels. Looking out to beyond Q2 here, we do have other levers to consider. We've always been prudent in adjusting our operating rates going forward to match demand. So, that's an important lever for us to adjust to this uncertainty going forward as needed. We obviously have the 10-year sales, which I mentioned already. That's something that will provide cash flow both in 2025 and all the way into 2026 as we work to substantially complete the sale of our tenures. We also have significant value in our duties. There's been several transactions in the marketplace in the $0.30 to $0.35 in the dollar range. Just a reminder, we've got over $600 million U.S. of duties on deposit. We've used that as a substantial store of value if and when needed. And then, we always have the ability to adjust our CapEx. We've been very prudent in planning our CapEx out to maintain flexibility. So, that's a lever we always seem to have and can pull.
Ben Isaac: That's great. Thank you. And then, just last question is on SPF in particular. Can you just give some color or context in terms of how is the best market doing right now versus the worst market? Whether you define that on a regional basis or on an end-use basis, I'm just trying to get an understanding in terms of where SPF has come from and what kind of volatility is it facing right now? Thank you.
Ian Fillinger: Yes, Ben, that's a tough one to answer on this type of call, I would say. In Q1, in my comments, all of our operating regions were EBITDA positive. And we continue to monitor all those. There's puts and takes. But being diversified, I mean, often, I think, the Pacific Northwest gets overlooked in the U.S. for us. We do have the Eastern Canada and then Western Canada. So, depending upon the market dynamics, we have a lot of levers and a lot of diversification in both species and geographical areas. So, I would say we always monitor that. We have a three-month rolling outlook that we look at every week. And we're positive at this point that all regions are running at their run rates that we need.
Ben Isaac: Perfect. Appreciate the comments. Thanks so much.
Operator: Our next question comes from the line of Hamir Patel from CIBC Capital Markets. Your line is open.
Hamir Patel : Good morning. Bart, I was just wondering with respect to European imports, I know they've been quite volatile. Do you have a sense as to if Section 232 tariffs did come in and they also applied to European supply, at what level would that sort of cut off European imports?
Bart Bender: It's a tough question, Hamir, because it really comes down to their cost structure and where that actually goes. I think it's fair to say if you look at any producing region right now for lumber, the margins are pretty tight. And so, if you introduce an additional cost, whether it's a duty or a tariff, there's really not a capability of any producing region to absorb that. And so, it's either going to be an exercise of prices moving up or supply being rationalized and most likely a combination of the two of them, frankly. What I keep hearing from the European side is that they are challenged with their log costs. And that as the markets see higher prices, it seems to me that that just transfers right into log costs. And so, the margin for the manufacturer is pretty thin. So, I think that Section 232 affects not just the Europeans. And I think the bottom line on that is that prices in North America will increase because of it. And the part I said in my opening comment is we just don't know what the supply side reaction will need to be to make that happen. And so, yes, that's the way I see that.
Ian Fillinger: Hamir, that's probably a question to ask somebody that's producing in Europe to give you more clarity. We don't, as you know. But what we do know is that the European imports have moderated since their peak on a trend basis. And they're stabilizing around 3 billion more feet, which is probably, in our view, a more sustainable run rate.
Hamir Patel: Fair enough. Thanks. Thanks, Ian. And just the last question I have for Rick, you highlighted a potential opportunity to perhaps monetize duty deposits if you decide to go down that path. From your discussions with the counterparties that might be interested, are they only interested in a transaction involving a portion of your deposits, or do you see a path to potentially monetize the entire bucket?
Rick Pozzebon: Good morning, Hamir. It's pretty hard to comment on, given a bunch of different factors. But we do see value in the duties to some level, whether it's all or just a portion, to be determined if we went down that path or decided to go down that path.
Hamir Patel: Yeah. Fair enough. That's all I had. I'll turn it over. Thanks.
Operator: [Operator Instructions] Our next question comes from the line of Sean Steuart from TD Cowen, and your line is open.
Sean Steuart : Thanks. Good morning, everyone. Ian, on Section 232, I'd be interested to get your perspective on how fast you think this investigation is moving? The deadline for public comments was pretty quick after the investigation started. Perspective on timing, how soon this might happen before November. And just following up on the previous question, within North America, if there are tariffs applied, perspective on if there's enough tension or how much tension there is in this market with respect to being able to pass incremental tariffs along and what sort of supply response might be needed to balance the market.
Ian Fillinger: Hey, Sean, Ian here. Thanks. 232, timing, no idea. Could it be tomorrow or next week or in the fall? We have no clarity on that, no intel that you don't have. So we can't really give you an answer on that. Sorry about that, but that's what it is. I think for Interfor, though, this, again, reinforces the strategic importance of our U.S. platform, both in the South and the Northwest. Any kind of incremental curtailments or supply rationalizations is going to happen in the higher cost regions, for sure. And to the extent of passing on the 232, if demand is where it's at in Q1 and holds in there, inventories are tight. And so I think that'll determine to the level of what we might be able to pass on cost. But I do see higher cost mills. And you'll recall in 2024, we adjusted our portfolio and we've divested of six operations that we did in 2024. So the portfolio for Interfor is substantially repositioned. But at the end of the day, as we get more clarity on how this works, we'll be able to keep you informed on that. But we're prepared. We're expecting it and we're expecting it at any time. And we'll see how the industry adjusts, but we're prepared to do what we need to do.
Sean Steuart: Thanks for that, Ian. The rest of my questions have been answered.
Ian Fillinger: Okay. Thanks, Sean.
Operator: There are no further questions at this time. Mr. Fillinger, please continue.
Ian Fillinger: Well, thank you, everybody, for your interest in our company. And feel free to reach out to Bart, Rick, or myself at any time. And this concludes our call. Have a great day. Thank you.
Operator: Ladies and gentlemen, this concludes the conference call for today. Thank you for participating. You may now disconnect.